Operator: Good afternoon. Thank you for joining us for the BioTelemetry Second Quarter 2016 Earnings Conference Call. Certain statements during the conference call and question-and-answer period to follow may relate to future events and expectations and as such constitute forward-looking statements within the meaning of Private Securities and Litigation Act of 1995. Such statements involve known and unknown risks, uncertainties and other factors which may cause the actual results, performance or achievements of the company in the future to be materially different from the statements that the company's executives may make today. These risks are described in detail in our public filings with the Securities and Exchange Commission, including our latest periodic report on Form 10-K or 10-Q. We assume no duty to update these statements. At this time, all participants have been placed on a listen-only mode. The floor will be opened for question and comments following the presentation. As a reminder this conference is being recorded. It is now my pleasure to turn the floor over to your host, Mr. Joseph Capper. Sir, you may begin.
Joe Capper: Thank you, operator, and good afternoon, everyone. I'm Joe Capper, President and CEO of BioTelemetry. As on previous calls, I'm joined by Heather Getz, our Chief Financial Officer. I'll start with an overview of over second quarter performance, Heather will take you through a more detailed review of our operating results, I will make closing comments and will then open up the call to your questions. Let's get started. I am extremely pleased to report this afternoon that we continued to generate excellent momentum in our business. Having just completed another record-setting quarter, during which we surpassed all expectations posting our 16th consecutive growth period with new highs in volume, revenue and EBITDA. Looking forward our guidance suggest we need to continue growing healthcare services at a pace much faster than the industry and deliver solid results from research services and that is exactly, what we expect to do. As I have reiterate on numerous calls, we are achieving these outstanding results both financially and operationally by adhering to the guiding principles we use to manage the company, as a reminder our daily [ph] focus is to solidify our leadership position in cardiac monitoring, establish a leading research service of business around the cardio core platform and look to identify markets that we benefit from the application of our wireless platform and proprietary technology. Our adhering to these principles have been instrumental in generating a consistent growth we have had from more than four years and you should expect us to stay focused on these same core initiatives going forward. We are confident, that if we continue to effectively employee this strategy we will meet or exceed our full year guidance. Let's take a few minutes to review some of the Q2 highlights. During the period, revenue grew by 18% to $52.7 million exceeding our guidance by approximately $3.7 million. Organic revenue grew by 13%. EBITDA grew by 51% to $11.9 million far exceeding expectations. Year-over-year quarterly volumes was up 7.5%, with MCT volume up 15%. We ended the quarter with $25.4 million of cash up $2.6 million sequentially. The role out of CardioKey continued to be an outstanding success story, as we now service in excess of 8,000 patients. Consistent with our longstanding strategy we acquired VirtualScopics in order to expand our research services offering. Our research services team continued to expand backlog and make progress in several critical areas and we continue to advance business development activities that will create additional sources of revenue. Let's take a closer look at components of the business which are driving this success. In our healthcare services division, we generated greater market penetration with growth in all three major service types MCT, event and Holter. As I mentioned a moment ago, overall volume is up 7.5%, with MCT up 15% in the quarter. On last quarter's call, I outlined several factors contributing to our excellent organic growth from improved messaging in sales force productivity to overall market expansion. One factor I highlighted is the resounding impact of our comprehensive portfolio approach and how it is providing us with a significant competitive advantage. No other provider in our space can match us in terms of breadth of product offering. Not only to be [indiscernible] options but no other competitor comes close in terms of product performance, an attribute that has become an increasingly important as more segments of the market demand higher levels of diagnostic accuracy. As evidenced by last week's announcement pertaining to FDA approval over next generation MCOT. This is a strength we will continue to build upon. The new MCOT is a four-lead, two-channel device in a patch form factor. This system incorporates the same proprietary algorithm and detection capability which have established MCOT as the gold standard among remote monitoring options. Customers will have the benefit of the most accurate and sensitive arrhythmia detection technology in a more convenient, light-weight, easy-to-use patch form factor. We believe this has the potential to improve patient compliance and expand utilization. We are excited about the recent approval and look forward to begin market introduction later this year. During the quarter, we completed the integration of the ePatch business recently acquired from Delta Technologies. Delta had been one of our long standing partners working on the development of our next generation MCT platform, which I just discussed. As we move closer to approval and ultimately commercial introduction of this system. We thought it was important to take control of the critical components Delta had developed and capture the associated cost savings that will come with this type of integration. As part of this transaction, we also acquired the ePatch device and extended where Holter [ph] in a patch format. The addition of the ePatch to our turn [ph] product portfolio it gives us greater flexibility in terms of product offering domestically and abroad. Healthcare sales continue to benefit from the successful [indiscernible] of CardioKey, which had widespread marketing acceptance having recently surpassed 8,000 patients served. We also announced another patent related success in our strategy to restrict or eliminate inappropriate activity of certain rogue competitors by seeking enforcement of our intellectual property rights. On the payer front, CMS published the proposed 2017 physician fee schedule. While there was essentially no change in a national rate for MCOT, it was a minor adjustment to the geographic index component of fee schedule, which will have a negative impact for us of approximately $2 million in 2017. Given the trajectory of the business, we expect this to have no impact on our strong momentum going forward. With demand for remote monitoring solutions on the rise, our healthcare services business is incredibly well positioned to continue to outperform the market. Our high organic growth rate, improved margins, new products and expanded payer coverage are all contributing to the momentum of the business is experiencing and we expect that to continue as evidenced by our guidance. Turning to research services, during the quarter we took an extremely important strategic step in completing the acquisition of Rochester, New York-based VirtualScopics. As a leading provider of clinical trial imaging solutions, VirtualScopics focuses on oncology, muscular skeletal and other therapeutic areas requiring centralized imaging services. As we have discussed on numerous occasions, expanding our research services offering has been one of our high priority initiatives, aimed at improving the long-term competitiveness of this division. Completing the acquisition of VirtualScopics goes a long way in accelerating this strategy. The imaging market is growing between 6% and 7% annually and is expected to be approximately $1 billion per year within the next few years. Combining imaging with our cardiac services has already made us a far more formidable competitor, but we still have much work to do in order to fully integrate two businesses. The market response to the combination has been overwhelmingly positive. The combined team has already achieved significant improvements in both pipeline and backlog which coincides with very positive response we've seen from our customer base. Additionally, we continue to make progress expanding the geographic reach of our research business. As I mentioned on previous calls, our newly established business development presence in Japan is producing meaningful results and we continue to look for other expansion opportunities. In addition to the advancements in our health care and research divisions, we continue to invest resources toward further diversification, which I have spoken about in previous calls. We are making considerable progress with our At Home INR Monitoring Service which allows us to leverage our current independent diagnostic testing facility and our sales and marketing infrastructure. This year, we have begun to more aggressively resource and promote this business and expect INR to be a meaningful contributor to our overall performance. Our collaboration with Wellbridge Health, a CHF care management solutions company aimed at reducing unnecessary hospital readmissions and emergency room visits is progressing according to plan. A recently completed a length and pilot program which produce 158% return on investment far surpassing initial expectations and of course, we continue to evaluate other opportunities to leverage the core competencies of the company. I'll now turn the call over to Heather for a detailed financial review of the quarter. Heather?
Heather Getz: Thank you, Joe and good afternoon, everyone. As Joe just announced Q2, 2016 marked our 16th consecutive quarter of year-over-year revenue growth. Total revenue came in ahead of our expectations at $52.7 million. Healthcare revenue was strong with an increase of $5.9 million or 16% growth over the prior year. The strength in healthcare resulted from a 7.5% volume increase across all products with our MCT volume growing by an impressive 15%. Also contributing to the healthcare revenue was the increased Medicare rate which as expected added about $1.6 million. Our research revenue increased $2.5 million due to an increase in imaging revenue with the VirtualScopics acquisition. And while the technology revenue declined approximately $0.5 million versus the prior year, we did see an increase sequentially due to the addition of several new customers. Moving to gross profit, our margin for the second quarter was 62.5% or a 280 basis point improvement over the prior year. This margin improvement comes from favorable pricing dynamics in the healthcare segment as well as operational and volume efficiencies. These positive benefits were partially offset by the impact of a mix shift due to higher revenue in a research segment, which carries slightly lower margins. We continue to experience strong operating margin post acquisitions. While as mentioned above, the acquisitions put some pressure on our gross margins. We saw increased EBITDA margin both sequentially and compared to the prior year. We generated adjusted EBITDA of $11.9 million for the second quarter, a 51% increase as compared to our Q2, 2015 EBITDA of $7.9 million, a 23% return on revenue. This is our ninth quarter of sequential EBITDA margin expansion. Now turning to the balance sheet, we ended the quarter with $25.4 million in cash compared to $19 million at year end 2015. We generated $9.3 million in cash from operations and $7.2 million of free cash flow in the quarter. In addition, we used $2.2 million for capital expenditures largely for additional devices in our healthcare segment. Also to note, we use $18 million in cash to acquire VirtualScopics and ePatch products. In the quarter, we drew $14.5 million from a revolver to funding acquisitions and working capital. At the end of the quarter, we had $38 million of indebtedness which is less than one times our trailing 12-month EBITDA. We expect to continue generating cash from operations which will give us the ability to pay down the revolver in the second half of 2016. As you can see, we have maintained a very healthy balance sheet with our strong cash balance and low debt levels. Shifting gears, I will now touch on the outlook for 2016 and more specifically on Q3. We've exceeded our expectations for the first half of the year, even when you'll exclude the VirtualScopics and ePatch acquisition. With the preliminary launch of our next generation MCOT and a patch form factor and the expansion of our product offerings through our two most recent acquisitions. We are increasing our full year revenue guidance to approximately $210 million and our full year adjusted EBITDA guidance to $44 million to $46 million. Just to be clear, these numbers do include the impact of both the ePatch and VirtualScopics acquisition. Our strategy delivered strong results in our first two quarters and while we expect that momentum to continue into the second half of the year. The quarter is typically a slower quarter due to the summer month particularly in the patient services segment. That being said, we are expecting revenue to be relatively flat as compared to the second quarter of 2016, as we've seen in prior years. More specifically for the third quarter, we expect to see revenue of around $53 million to $54 million or about 23% higher over the prior year quarter and adjusted EBITDA return of approximately 22% to 23% or about 38% over the prior year quarter. Given our year-to-date momentum we are confident about the Company's ability to achieve this guidance. To summarize, we posted our 16th consecutive quarter of year-over-year revenue growth and ninth of sequential EBITDA margin expansion. And we doubled our quarterly GAAP net income, we have a strong balance sheet with more than $25 million of cash, loan leverage and additional debt capacity, if needed. The Company has never been in a stronger financial position and with that, I'll now turn the call back over to Joe.
Joe Capper: Thanks, Heather. As you've just heard, we had a highly successful second quarter continuing to track ahead of 2016 expectations. In addition to achieving excellent results, we received FDA approval to market our next generation MCOT device in a patch form factor. We completed over 8,000 CardioKey services, integrated the ePatch business and acquired VirtualScopics dramatically improving the competitive strength of our research business. Our strategy is clearly working as designed. To ensure continued success in 2016, we will stay focused on a following items as we move into the back half of the year. We will build on our comprehensive approach with the future market penetration of CardioKey followed by the launch of our next generation telemetry system. We will continue to capitalize on the increased [indiscernible] awareness and education in market place by showcasing the best-in-class attributes of our technology. We will work to expand payer coverage for all services, integrate VirtualScopics, grow our research backlog at least double the size of our INR services business, drive further efficiencies throughout the organizations to maximize margin opportunities and evaluate additional acquisition targets that will accelerate our strategic plan. By continuing to execute our plan, we expect to be in a strong position to deliver more record setting results. Our guidance of 35% plus year-over-year EBITDA growth demonstrates the confidence we have in our business. Additionally, we are increasingly encouraged by the macro trends towards expanded applications for Telehealth and remote monitoring solutions. BioTelemetry is uniquely positioned to benefit from these market dynamics. In closing, I would again like to thank those at the company who helped deliver our 16th consecutive growth quarter. Without your sustained efforts many people may have gone without the benefit of our life saving services. You should be proud that your hard work positively effectively lives of hundreds, of thousands of people. With that, we'll now pause and open the call to questions. Operator, we're ready for our first question.
Operator: [Operator Instructions] our first question comes from the line of Bruce Jackson with Lake Street Capital. Your line is now open.
Bruce Jackson: Thanks for taking my questions. With the gross margins I was prepared for a lowered gross margin rate because of the acquisitions and the research group, is the level of gross margin sustainable going forward in 2016?
Heather Getz: Yes, you'll see a little bit more of an impact in this quarter it had about 50 basis points impact on the business that will increase a little bit, when we have a full quarter of VirtualScopics in Q3, but with the continued growth of the patient services business at the higher margins, you're seeing some offset there as I mentioned earlier. So I think that at about this level is reasonable to close up the year.
Bruce Jackson: Okay and then looking forward to 2017 just directionally, we had a nice tailwind this year with the CMS reimbursement for MCOT, next year that's going to chill off a little bit, does that have any impact on the gross margin fixture for 2017?
Heather Getz: Not a significant one as Joe mentioned, based on our current year volume we expect about $2 million negative impact due to the geographic price index, but looking into next year we also have some additional efficiencies with the launch of the ePatch and also just volume leverage that shouldn't impact the gross margin in 2017 significantly.
Joe Capper: Yes, also in 2017 we'll be starting to cut in the new MCOT device that comes with the lower cost we sold now. You won't feel the impact of that in the early days. It will take a while to see impact of that, but we think that we have enough puts and takes to offset it, pretty comfortably.
Bruce Jackson: Okay, great. Then last question and I'll hop back in queue. What's your target for the adjustments to get to the adjusted EBITDA number for 2016 for total year?
Heather Getz: So are you asking what our forecast is for - basically its patent litigation expense and some integration expense? So it's going to tail off into the second half of the year, so maybe an additional $1.5-ish million between Q3 and Q4 maybe a little higher depending on when we execute some of the integration related items.
Bruce Jackson: Okay, great.
Heather Getz: At the most maybe about $2 million.
Bruce Jackson: Okay, great. Thank you very much.
Operator: Thank you. Our next question comes from the line of Marco Rodriguez with Stonegate Capital. Your line is open.
Marco Rodriguez: Good afternoon, guys. Thank you for taking my questions. I wanted to get a little bit of better handle on VirtualScopics and its impact on the quarter and then on your guidance. Can you kind of walk me through what revenue contribution you saw from them in EBITDA contribution?
Heather Getz: Yes, so on the top line when it was $2.5 million impact on the top line but that also included some revenue that we were able to pull in that they would not have, have they not been acquired. So while the imaging contributed that additional $2.5 million. I wouldn't attribute 100% of that to VirtualScopics, but it's kind of difficult to split out. And then same thing on the bottom line, we actually picked up a couple $100,000 of EBITDA but that was offset by some of the expenses related to the Delta acquisition in the quarter, so that was about a net neutral.
Joe Capper: If you didn't come across clearly in our comments, I think one thing this is important to note is that, our revenue forecast for the quarter did not include revenue from any acquisitions and have we not done the acquisitions, we still would have beat that by decent amount, it would have been over $50 million without the acquisitions, as Heather indicated, that we picked up another two plus from the acquisitions. So the business had outperformed in the quarter even before the acquisitions.
Marco Rodriguez: Go ahead, I'm sorry.
Heather Getz: So, 13% year-over-year organic growth on the top line.
Marco Rodriguez: Right, I just kind of wanted to quantify the impacts there. So that's great and then how should we be thinking about VirtualScopics impact for fiscal 2016. I mean you have the increase in guidance obviously you've done well first half on an organic basis, just trying to get an idea as far as how VirtualScopics kind of works into that guidance and then how we should maybe rethinking about a go forward growth rates for the research services now that you've got VirtualScopics in there.
Heather Getz: So our original guidance coming into the year was about $195 million to $200 million. In our last call, we had indicated that excluding VirtualScopics, we expected to hit the upper end of that range. So basically the difference between the $210 million and that higher end of the range is essentially what we believe the impact of VirtualScopics will be.
Marco Rodriguez: Got you and the same goes for the EBITDA guidance, the increase there.
Heather Getz: That's correct, it's a combination of that and our performance to-date versus what we had guided to.
Joe Capper: Yes, EBITDA is probably half and half before, we were outperforming to-date. The only reason we're hedging a little bit Marco is, we're ruling into the toughest [ph] quarter of the year and we tend to be a little bit conservative forecast anyhow, but the business is really, it got some nice momentum to it.
Heather Getz: That's right.
Marco Rodriguez: Got you. Actually that's very helpful. And last quick question, when we're thinking about or if you can maybe share any sort of trends you're kind of seeing on the healthcare services side that might be beneficial to the launch of your new MCOT patch. And if you can provide any details or any kind of color as far as timing on that launch and what sort of expenses if any might be incurred to kind of get that going?
Joe Capper: So the first one trends in the market, there is a trend just in general towards the introduction of systems at a more kind of patient friendly which theoretically should drive higher patient compliance, you'll have less breaks in service if the device is less invasive and could potentially lead to some expanded utilization. So we've seen that in the market place, I can't quantify that for you other than provide commentary around the fact that we're seeing more demand for it, smaller, more comfortable devices kind of make sense because these are sort of consumer ask [ph] devices if you will. So we think it will be well received in a market place, we're not the first company that introduced patch products. So we have some indication that, that they are fairly well received. Now that being said form factor is really only one part of that overall solution, if you have a really slick form factor but your device is terrible at picking up arrhythmias and diagnosing these life threatening issues, then the product is no good. So you can't have one without the other and we have seen the market reject some of the "more convenient products" that don't work that well. So as far as when we plan to introduce it, right now we're just saying later in the year. We still have some more production work to do. We've ordered parts, scheduling manufacturing all that takes time. So you'll probably see a Beta release or a limited release in the second part of this year , later in the year and then we'll move into a more expanded rollout in early 2017. Expenses are already building to our budget. I wouldn't be hung on that.
Marco Rodriguez: Got you, great. Appreciate your time guys.
Operator: Thank you. Our next question comes from the line of Jan Wald with Benchmark Company. Your line is open.
Jan Wald: Thank you and congratulations on the quarter. Best one to-date, I guess maybe taking a step back a little bit from details. I guess one of things I'm kind of interested in because you keep taking competitors your potential competitors out, how do you view the competitive landscape right now? Who is your primary competitor? Who out there is coming with something that would concern you? What does the environment look like?
Joe Capper: It's not changed much Jan. It's the same folks. There's been some acquisitions or consolidation but really its LifeWatch is our number one, you have eCardio and then it falls off after that, not everybody has the coverage we have from a priority [ph] standpoint and none of them have the product portfolio we have, so we think that we're taking share. We think that the market's growing a little bit and we've taken our unfair share of that and we've certainly been disruptive to some of our competitors.
Jan Wald: Okay and I guess in terms of reimbursement going forward. You get reimburse now on sort of almost like on physician-patient contact, so there's a whole lot of other services that you provide that aren't reimbursed for now, like the data center and things like that. Do you see that changing and how much if that were to change, what do you think the new reimbursement level would be just maybe in terms of change in percentage or something like that.
Joe Capper: I don't think you'll see additional services become reimbursed for like separately unbundling those services if you will. To-date, our reimbursement is set for a service and that includes monitoring, that includes the device, that includes training, it includes retrieval, it includes all the facets to deliver the service, and then when the reimbursement were set for these services, all of that cost was taken into account. Which may see though Jan is, movement toward value based pricing or value based reimbursement and there's been some, there's some word from CMS that they're attempting to come up with models for value based pricing on, we invite that frankly because we know that we say money, we've done studies in the past as you're aware of, where we've shown a pretty dramatic reduction in inpatient labor related cost, when you use it on patient service like MCOT. And we think that if CMS ever does move to more kind of these value based pricing model, we being great, we being well positioned for that.
Jan Wald: Okay, thank you and I guess going back to research services just one more time. It seems like, the growth is pretty stable if you will, but not accelerating, at least not accelerating as much as I had or we had thought it might. Is there a reason for that or am I thinking about research services incorrectly, wrongly.
Joe Capper: No, I think like we came into the year. We had a feeling that the business was going to grow at a certain rate and I think it's grown pretty much at that rate. You got to remember first of all one of things that happened clearly was, there was some price reductions with some of the services being part of the industry. So while our volume is up, our ASPs if you will in that space we're not tracking at the same rate, so you have volume growth with flattish revenue for some of the services we provide. Plus it's a choppy business, you had some seasons where you get a lot of studies, where some quarters you get a lot of studies and some where you don't. We clearly felt the impact of being kind of one-trick pony. We only offered cardiac services and the CRO [ph] business clinical research services industry is consolidated quite a bit or has consolidated quite a bit and we were tracking a little bit behind that strategically, often we were being asked to bid over multiple service lines and we were bidding at one, which put us at a competitive disadvantage, hence the reason why we were so focused on add another service lines and more often than not, we were seeing opportunities to bid both imaging services and cardiac services, which is the reason why we prioritize clinical services over any of the other options out there. So Jan I would tell you, immediately after the acquisition the response from the customer base it was unbelievable and although, we don't make it public. I can tell you that, our backlog grew as a result dramatically in the first couple of months of the acquisition. So the answer back from the marketplace was, your strategy made sense and we're happy with you as a company, so we're giving you more business.
Jan Wald: Okay. Okay, that's it from me. Thanks and again congratulations on the quarter.
Operator: Thank you. Our next question comes from the line of Chip Saye with AWH Capital. Your line is open.
Chip Saye: Thanks for taking my questions. First question is, you mentioned the market growth, you said the market's grown a little bit and you guys have growing a little faster. Number one, can you talk about at what rate is the market growing and number two, repeat again why are you guys growing faster than the market?
Joe Capper: So it's tough to give you an exact answer on market growth rate. We think it's probably kind of in that like low-to-mid single-digit range and we talked at last quarter, we explained kind of outlined several areas why we think we're doing so much better, I think a lot of it comes back to execution, the sales and marketing team and the messaging. Sales and marketing team is doing a lot better delivering the message and the message is a lot clearer than it used to be and it's consistent with the market demand. The market is shifting more towards and we want devices and we want systems that are really accurate because we're trying to diagnose some of those arrhythmias at a very low level meaning that let's say you're looking for afib in a cryptogenic stroke patient, [indiscernible] because the stroke it possibly could have been afib, if you have the device that leads 5 minutes of afib to trigger, it's not a very effective device and neurologist wants to treat that patient with an anti-coagulation med and as soon as they know, if there is some presence of afib and you know they debate in the medical community how afib is needed, but man oh man, you sure want a device that can get it at a low level and get it super accurate. There is nobody in the market place that can come close to us in terms of sensitivity and specificity Aka accuracy of picking these various arrhythmias and afib is obviously is the big one that everyone's talking about right now. So I think [indiscernible] execution, I think it's a clear message, I think its market demand for what we're delivering. So timing is right, I think it’s part of it is we have a portfolio of products, we have more options than anybody else. We're better resourced than most of our competitors. Some of them had other issues that they had to deal with, we have not had to deal with so, I think it's a combination of things. I can't just point to one thing.
Chip Saye: Okay, I think a previous caller asked about competitors. Are there any other opportunities to roll up smaller competitors like you've done in the past?
Joe Capper: I think so, I think there's opportunity to do some more kind of M&A or strategic work in that area.
Chip Saye: If you don't mind, what multiples were you looking at in M&A, in those cardiac services businesses?
Joe Capper: I can't get into that, I think it's going to be opportunistic. It depends on what the target looks like, it depends on what it means to us strategically, what it means to us cost synergy all that kind of stuff. And obviously multiples are high right now, so it makes things tough.
Chip Saye: That's what I was wondering, I heard in the market that their multiples were going higher, so that's why I was hoping you could maybe just give me a range.
Joe Capper: Yes, I could tell you that we've been pretty successful at getting them in the mid-single digits and then accreting decent value. Mid-single digits in terms of multiples of EBITDA and then accreting some pretty decent value post acquisition and integration. If you look at multiples of revenue, you just take the last couple we did, last example was VirtualScopics, we got it at somewhere in the neighborhood of one or little bit more than one times trailing 12-month revenue and obviously we're trading that at a much better multiple, that so we can arbitrage some value there. And look again, won't do them just for that though it's got to be strategic. I mean it really has to accelerate our plan. Otherwise, we're not doing them.
Chip Saye: Okay, just couple more if you don't mind. This is for Heather. Heather the CapEx for the year, I may have missed it but what is the estimate for the year.
Heather Getz: We're looking at depending on how quickly we launch the patch anywhere from about $12 million to $13 million of total capital with the majority of that coming from the device acquisitions purchases.
Chip Saye: Okay and lastly the INR revenues for 2016, what revenue level will that be?
Joe Capper: Did we point to that all?
Heather Getz: We don't.
Joe Capper: That's probably we're going to have about, I'd say probably I'd say 4,000 to 5,000 patients on service by the end of the year and annualized revenue [indiscernible] figure about $1 million of annualized revenue for every 1,000 patients we have. We're filling that throughout the course of the year, short of any acquisition.
Chip Saye: Okay, so $1 million revenue per every 1,000 patients.
Joe Capper: Roughly.
Chip Saye: And you should end the year with 3,000 to 5,000 patients.
Joe Capper: At least.
Chip Saye: Okay, I appreciate it.
Joe Capper: Thanks.
Operator: Thank you and I'm showing no further questions in the queue at this time. I would now like to turn the call back over to Joseph Capper for any closing remarks.
Joe Capper: Thanks operator. Thanks again for your continued support everyone and interest in the company. We're going to conclude the call and we'll speak to you at the end of next quarter. Have a great evening.
Operator: If you join the conference late today, you may listen to the conference call via digital replay, which will be available through the investor information's of the BioTelemetry website at gobio.com until Wednesday, August 17. Thank you for participating in today's conference. You may all disconnect. Everyone have a great day.